Operator: Good morning, ladies and gentlemen, and welcome to Covalon's Q1 Fiscal 2022 Conference Call and Webcast. My name is Kelsey and I will be your conference operator today. As a reminder, today's conference is being recorded. All lines have been placed on mute to prevent any background noise and after the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. At this time, I would like to turn the conference call over to Mr. Brian Pedlar, President and Chief Executive Officer, and Mr. Jason Gorel, Interim Chief Financial Officer. Please go ahead, Mr. Pedlar and Mr. Gorel.
Emily Hill: Good morning, everyone. My name is Emily Hill. I am the Executive Assistant to Covalon Chief Executive Officer. I'd like to thank everyone for taking the time this morning to attend our conference call. We'll be discussing our financial statements, MD&A and press release related to Covalon's first quarter ended December 31. 2021. There will be an opportunity for you to ask questions at the end of our call. So before we begin the discussion, I'd like to remind participants that this call is covered by Covalon's safe harbor statement. Certain statements included on this call may be considered forward-looking. Such statements, involve known and unknown risks, uncertainties and other factors that may cause our actual results, performance, or achievements to be materially different from those implied by our statements. And therefore these statements should not be taken as guarantees of future performance or results. All forward-looking statements are based on management's current beliefs, assumptions and information currently available to us and related to anticipated financial performance, business prospects, partnership opportunities, strategies, regulatory developments, market acceptance and future commitments among other things. Participants on this conference call are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date of this call due to risks and uncertainties, including those identified by Covalon in our public security filings. Actual events may differ materially from current expectations. Covalon disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. In the management's discussion and analysis, press release and this call, Covalon has provided non-IFRS measures that are meant to provide further understanding of our results by helping to highlight trends and assist in comparing different periods. The adjusted gross margin and adjusted EBITDA are terms that do not have any standardized meaning and may not be comparable to other companies. These measures are not meant to replace the similar IFRS measures and any adjusting items may occur recur in the future. And so I will now turn the call over to Brian Pedlar, Covalon's President and Chief Executive Officer.
Brian Pedlar: Thanks Emily. Good morning, fellow investors. Thank you for joining Jason, Emily and me on this call. I'll walk through the quarterly numbers and provide some context as well as talk about some of our growth objectives underway in 2022 and beyond. Then both Jason and I will take your questions either through the phone line, if that's how you're listening in or via the message function on the webcast. So there's three key metrics that I want to draw your attention to this quarter. I'm very pleased to report that revenue for the first quarter of fiscal 2022 increased 90% to $4.9 million. The second metric is that we achieved positive operating cash flow of about $540,000 for the quarter. And finally, we finished the quarter with $25 million of cash on our balance sheet. Now these three metrics indicate we are much stronger and improved company today, both financially and operationally than we were last year at this time. During the quarter, we successfully completed the transaction of our discontinued AquaGuard business, which was sold on July 28, 2021, and required us to transition operations and customers to the purchaser. This transition was completed during the quarter and as a result, our operating costs and profitability were affected by the transition. Operating costs from continued operations were $3.4 million for the quarter ended December 31, 2021 and as we anticipated included additional costs associated with the transition. Due to this being a transition quarter, we reported a loss of $1.5 million or $0.06 per share, which includes the discontinued operations related to the AquaGuard product line. Our adjusted EBITDA from continuing operations improved about $600,000 to a loss of $200,000 compared to last year's first quarter. Adjusted EBITDA removes government funding from the previous year and removes inventory provisions of approximately $700,000 from Q1 in 2022. Revenue in the quarter was, as I said, $4.9 million compared to revenue of $2.6 million in the prior year. Our 90% increase in revenue for the three months ended December 31, 2021 increased about $2.3 million. And this was really driven by our product sales in the United States. Product revenue itself increased about 125% in the quarter to $4.5 million compared to the $2 million in the previous year. Now this increase in product revenue occurred in the United States where we sell our Collagen wound dressings through a distributor network and also our infection prevention products to hospitals and other facilities. Product revenue in the US was up about $2.6 million in part due to increased orders from our wound care distributors during the quarter and due to our recovery from the prior year in our supply chain, which was negatively affected by delays and shipments of our Collagen products. The delay in shipments in Collagen really were driven by mostly COVID 19 related issues that are contract manufacturer and that temporarily delayed production and shipments. Our international revenue was relatively flat compared to the prior year, but I can say that I'm confident that we will see improved revenue internationally over the coming quarters. Looking at gross profit, which was $2.3 million and that compares to the prior period of $1.3 million. As a percentage, gross margin was 46% for Q1 compared to 51% in the prior year. Included in those costs of sales in the current quarter, our inventory provisions totaling, as I mentioned, about $700,000. The gross margin is significantly influenced by source of revenue and by the relative mix of products sold in any given financial period. We provide an adjusted gross margin figure, which excludes inventory provisions and depreciation and if we look at that in this particular quarter, Q1 of 2022, our adjusted gross margin was about 62%. And that compares to about 55% for the prior year. Again, that is driven largely by product mix and our increased sales into the US. Turning to operating expenses. Operating expenses for the quarter were $3.4 million compared to $2.3 million in the prior year's period. And when we exclude the impact of government subsidies, which were about $300,000 on the prior period, operating expenses for continuing operations increased about $800,000. As we sort of break that down, approximately $500,000 of that relates to sales, marketing, operations and administrative staff that previously were solely dedicated to the discontinued AquaGuard business that we redeployed to continuing operations. This was in line with our commitment to invest in sales and marketing resources to help drive our future growth. The remaining increase of about $300,000 was due to increased facility and other expenses, Net loss for continuing operations was $1.1 million or $0.04 per share compared to a net loss of a $1 million or $0.03 per share in Q1 fiscal 2021. When we look at our adjusted EBITDA, we were within $200,000 of a breakeven during this transition quarter. So when we look at our platforms and in particular to our Collagen and Wound Care platforms, I'd say we're positioned extremely well to further accelerate our growth of our biological collagen that has been to contributing to revenue this past fiscal year in fiscal 2021. Our core business of Collagen dressings continues to experience growth in the United States and internationally. The United States has been a strong market for us. The growth path is not always linear and it can fluctuate from quarter to quarter, but I foresee this continuing as a growth driver going forward. Internationally, we have won additional competitive contracts and we are seeing increases in orders placed by our distribution partners, which gives us more visibility into forecasted orders over the next 12 months. We also launched a Collagen powder product that is seeing some strong acceptance by clinicians in the US and we are our Collagen powder to contribute to revenue this year. Our second platform technology is our antimicrobial silicone adhesive technology, and that we have leveraged to create a family of vascular access and surgical dressings that protect patients from infection. Following the divestiture of our AquaGuard product line, we have refocused our US sales efforts on aside from Collagen on IV Clear and our new VALGuard product that protects vascular access lines from external contamination. Both IV Clear and VALGuard are used in acute care facilities and also for outpatients as well. We have established a very loyal base of customers in the United States hospitals and alternative care clinics, and are seeing rapidly growing interest in our products. The timing couldn't be better for us to have two strong products to help reduce the risk of bloodstream infections in ICUs. Recent data has been referenced by the CDC that reports the instances of bloodstream infections have risen a shocking 67% while patients are in a hospital ICU undergoing various treatments. Both VALGuard and IV Clear solve serious problems that the market leading products, which are used in most ICUs cannot. As clinicians recognize the benefits of our products over what they are currently using, we are growing our customer base, even in facilities that are contracted with competitors of ours, such as 3M. We now have a customer base of facilities buying IV Clear, VALGuard and our sales leads continue to grow in the US as awareness of our products and their clinical benefit spreads. Our surgical product is being a strong success in helping cardiac surgeons, reduce infections and pediatric and adult patients recovering from cardiac surgeries. We see this as a growth opportunity for us in 2022, but more so 2023, as we penetrate more hospitals in the US. Growth in the Middle East, in our fiscal 2020 was driven largely by increased IV Clear sales and we have secured additional competitive contracts for deliveries in 2022 and 2023, which will begin to ship later this year. And our final platform technology is our medical coding platform. We have a very strong reputation within the medical device industry is leaders in the antimicrobial technology. As a result, many large medical device companies work with us on various size projects to help them develop versions of their existing products that can kill bacteria and they do that by hiring us to apply our patented medical coding to their medical device. We are about 24 months away from seeing royalties and other revenue streams from the large development contract we announced in 2018. To unlock these growth opportunities, we will continue to invest in sales and marketing resources to drive our revenue growth, expand our current distribution partners -- partnerships with our key distribution partners that can help us penetrate and grow meaningful markets. And we'll opportunistically look at ways to further accelerate our growth through acquisition. I'm very proud of our team's efforts over the past 18 months to really steer us clear of COVID 19 challenges and the contributions that our team has made to our successful turnaround, including the sale of our AquaGuard product line. I would like to thank every member of the Covalon team for their dedication and hard work this past year. 2021 was a successful year because our team adapted, worked unbelievable hours in accomplished an incredible amount over the year. This energy and work ethic has carried over into Q1 where we saw strong revenue growth and will continue to help us meet upcoming challenges head on as we continue to grow our business. The result of that hard work is that Covalon is truly a different company today than we were just a few short months ago. We are on much stronger company, both financially and operationally, and we have many more levers at our disposal to fuel further growth. I still don't believe that the value of our highly advanced technology platforms and their relative growth opportunities have been fully reflected in the value of Covalon. I believe that each of these platforms has more value individually than our non-core AquaGuard product line that we sold for $38 million and by combining the value of our $25 million of cash, our clean balance sheet and the potential of our three highly sought after product and technology platforms, it's clear to me that Covalon will generate significantly more value for our shareholders over the coming quarters in years. While we will no doubt face challenges in the future and not everything is in our control, I can say for certain that our team at Covalon is working harder than ever to grow our business and continue the positive progress we have made to date. I would now like to open the line for questions. I ask that if you're using the the call in number, please keep your questions to one question at a time, and there'll be lots of time to get back into the queue to ask more. I'll turn it over to you, Kelsey, to start I think first we're going to go through and do the questions that come in on the phone. And then we will turn to questions that come in on the webcast. Over to you, Kelsey,
Operator: [Operator instructions] And your first question does come from se manager from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, Brian and congrats on the continued operational excellence after the AquaGuard divestiture. You mentioned some moving parts during the quarter with regards to some cost that may have still been flowing through related to that divestiture. Can you further characterize that?
Brian Pedlar: Sure. Thanks Seth [ph] for the question. This was really a transition quarter. When we sold AquaGuard, we sold the product line. It was really an asset sale and so we retained all staff and operations and during the quarter, we transitioned those operations over to the purchaser. And so we were left with staff and we've had some departures that were planned. We've also redeployed some of the people. So during the quarter, we were still handing over the business up and as a result, we had some additional costs that we -- that weren't all captured in discontinued operations that I think of as more transition related. And then we redeployed, as I mentioned, we redeployed some people that were focused on the AquaGuard product line, a few of our sales team to sell IV Clear and VALGuard into the US, some marketing folks as well as some administrative. So I would really classify it as a transition quarter from that perspective.
Unidentified Analyst: Understood. And with regards to the, kind of the redeployment or maybe the timing of some of those efforts, would you characterize them as having kind of happened at the front end of the quarter, or do you -- I'm trying to kind of understand the cadence of maybe the sales and marketing spend moving forward, as well as the G&A, are these run rate numbers, you look at this quarter, or do you think based on the timing there's still upwards or downwards, you did mention some departure, so there could be downward shift there too.
Brian Pedlar: Yeah. So I would say they sort of -- the people that we were redeploying from this certainly from sales and marketing, were they're fully for the quarter. Some of the operations were not and so I'd hesitate to sort of look at this quarter as a window into future quarters operating expenses. As it is a bit of a transition, there are some overlaps of costs and I think we'll continue as we have over the past two years continue to be very diligent in monitoring operating costs. That said, I do see where we have opportunities to focus some talent on our growth going forward. So we will invest in things like sales and marketing team and initiatives. But I wouldn't necessarily characterize this quarter as the quarter to model out for the future.
Unidentified Analyst: Got it. Yeah. Based on kind of the OpEx of the proportion of sales, this is higher than your historical. So I understand, like you're saying some one-time expenses. So would that be, I gather on the G&A side rather than sales and marketing, since those folks that you've onboarded are not the -- are here to stay essentially, right.
Brian Pedlar: Yes, I would say, but, obviously there's some transition in, I would say all but the R&D bucket in operations, in sales and marketing and G&A. But likely, I think your observation is probably fairly directionally okay to think about.
Unidentified Analyst: Awesome. Well, thanks for that at insight, and I'll hope back in the queue.
Operator: Thank you. And your next question comes from Arnold Shell. Please go ahead.
Arnold Shell: Yeah, thanks. What has to happen for you to have consistent profitability from quarter to quarter and when do you expect that to be the case?
Brian Pedlar: Yeah. Thanks for the question, Arnold. We're, as I mentioned, this is a bit of a transition quarter. We have not provided specific guidance going forward on top line, bottom line. We are continuing to manage our operating expenses, but we do have to keep in mind that we transitioned out the AquaGuard business, which was a big part of the company previously. And so, and we also seen some opportunities for growth on our current line. So we're trying to balance both profitability, growth and making sure that we can streamline our effectiveness as an organization. So, I think if you sort, it's part of the reason that we're trying to provide in addition to our IFRS financials to provide both adjusted gross margin and adjusted EBITDA, to give you some sense of some of the moving items and a lot of companies struggle with this Arnold, when you look at things like the government subsidies that that existed. And so we've tried to pull all of that out. So there's a bit more apples to apples comparison. And I think as I stated, we were pretty close to breakeven this quarter on our adjusted EBITDA. And I see we can, make strides in the right direction going forward, but it'll likely be a quarter or two before we are fully aligned as to having all of our transition expenses managed through.
Arnold Shell: Thank you,
Brian Pedlar: Spencer. Appreciate your question.
Operator: [Operator instructions] And there are no further questions at this time. You may please proceed with the webcast.
Emily Hill: Okay. Our first question is from the webcast. Is from a representative of Sweco Capital [ph]. The question is, could you elaborate on the sales and marketing investments made during the quarter? What kind of payback period sales and marketing costs were up around $600,000?
Brian Pedlar: Yeah. Good question. So our AquaGuard business was highly focused selling directly into hospitals in the United States and the team associated with that were in last year's numbers included in our discontinued operations disclosures. We transitioned a small subset of that team to focus on selling VALGuard and IV Clear as well as or engaging in upgrading our ability in our programs around digital marketing with lack of access into hospitals that has created the need for all medical device companies to focus on alternative ways to engage clinicians just because of lack of ability to get to facilities. And so it's really salespeople a bit of an investment in some marketing personnel focused mostly on US hospitals, where we see a lot of growth opportunity and a little bit of investment into some tools to help us engage from a digital perspective, much better with the clinicians that use our products.
Emily Hill: We have two questions on a similar subject one is from Anthony Marchesi from ITF who asks, would you consider a small stock repurchase program, similarly from Mark Hos [ph] given how depressed valuation is and how much cash is on the balance sheet, what is holding you back from conducting a buyback?
Brian Pedlar: Yeah, certainly this is a good question. Certainly something we've talked about at the board level and when we come to a decision on that, we'll certainly and if we do launch a program, we'll absolutely be announcing that. I agree that the stock price is not reflective of the value of the company and I see a lot upside there. So that's certainly something that we've talked about internally.
Emily Hill: The next question is from Mark Hoff again. There's no longer any analyst coverage. Are you looking to get coverage with any of the brokers that used to provide coverage or perhaps engage in IR firm to increase visibility for investors?
Brian Pedlar: Yeah, I've talked to -- I talked to analysts quite frequently and talked to a lot of investors on a daily basis. So I think there's a lot of interest in Covalon. I think it was difficult for people to get a handle on the business as we were going through the divestiture of AquaGuard. But I think now that we've gone through that transition, our core business is a lot more readily identifiable. I think it's easier for outside analysts to track and monitor the company and so that's an area where we're really, I'm definitely focused on engaging with the street more and engaging with investors as much as I can. So I do believe there's some interest in stay tuned. We'll see whether coverage increases on Covalon.
Emily Hill: Our next question is from Robert Tatter [ph] Private Investor, who asks the press release, contains a lot of information on the revenue account, but the only balance sheet item is $25 million in cash. Could you please include a basic balance sheet in future press releases?
Brian Pedlar: Yeah, it's a great suggestion, Robert, we'll talk about doing that. I think there's been a lot of focus on operations. Our balance sheet is something we're really proud of. It's very clean, no debt. Certainly it's available in our public filings, but it's a good suggestion. We'll talk about doing that going forward.
Emily Hill: And your last question from the webcast is from John Presley [ph], who says there are 12 job postings on Covalon's website. Is the company looking to ramp up staff for future growth?
Brian Pedlar: Yeah, John we're always looking for good people poll. We have a really solid core team. In this day and age and I don't know if it's due to people that get -- that have been adversely affected by COVID or what it might be, but there seems to be movement of staff in a lot of companies. And so we're continuously looking to build our portfolio of and contacts with really talented staff. We do have open positions and some positions we continuously look for good people, whether the positions are open or not. And so we're looking to increase the strength of our team and in particular, in areas of sales and marketing, where we can see an immediate impact on our revenue and the opportunities for growth. But again, we do have a few open position and, we always, we've been trying to operate very lean over the past few years and we will continue to do that, but in a smart way. So I appreciate the question and I appreciate you certainly if you're interested and have the ability to add value, we'd love to be able to engage with anybody who could fill some of those open spots.
Brian Pedlar: Thanks so much. Here's where we've gone through all the questions. I'm really confident that the fundamental improvements we've made this past quarter and through last year and the strong progress into calendar 2022, I think it over time is going to de demonstrate significant unrealized value for our shareholders that I believe exist today. The hard work continues. I know the team is working hard, and I look forward to discussing our progress on our next call. Thanks very much,
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you very much for participating and ask that you please disconnect your lines.